Operator: Good afternoon ladies and gentlemen. Thank you for attending today's EverQuote Q2 2022 Earnings Call. My name is Tia and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now pass the conference over to your host Brinlea Johnson of Blueshirt Group. You may proceed.
Brinlea Johnson: Thank you. Good afternoon and welcome to EverQuote's second quarter 2022 earnings call. We'll be discussing the results announced in our press release issued today after the market closed. With me on the call this afternoon is Jayme Mendal, EverQuote's Chief Executive Officer; and John Wagner, Chief Financial Officer of EverQuote. During the call, we will make statements related to our business that may be considered forward-looking statements under federal securities laws including statements concerning our financial guidance for the second quarter and full year 2022, our growth strategy, and our plans to execute on our growth strategy, key initiatives including direct-to-consumer agency, our investments in the business, the growth levers we expect to drive our business, our ability to maintain existing and acquire new customers, our expectations regarding recovery of the auto insurance industry, our recent acquisitions, our goals for integrations, and other statements regarding our plans and prospects, and the possible impact of inflation. Forward-looking statements may be identified with words and phrases such as we expect, we believe, we intend, we anticipate, we plan, may, upcoming, and similar words and phrases. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. We specifically disclaim any obligation to update or revise these forward-looking statements except as required by law. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could cause our actual results, please refer to those contained under the heading Risk Factors in our most recent Quarterly Report on Form 10-Q which is on file with the Securities and Exchange Commission and available on the Investor Relations section of our website at investor.everquote.com and on the SEC's website at sec.gov. Finally, during the course of today's call, we'll refer to certain non-GAAP financial measures, which we believe are helpful to investors. A reconciliation of GAAP to non-GAAP measures is included in the press release we issued after the close of market today, which is available on the Investor Relations section of our website at investors.everquote.com. And with that, I'll turn it over to Jayme.
Jayme Mendal: Thank you, Brinlea and thank you all for joining us today. In the second quarter, we exceeded guidance expectations across our three primary financial KPIs, delivering revenue of $101.9 million, variable marketing margin or VMM of $33.1 million, and adjusted EBITDA positive $1.4 million. We attribute our success in the quarter to agile management fueled by strong analytics, as our operating teams demonstrated their ability to effectively navigate continued volatility and increased headwinds in the auto insurance industry. On the consumer side of the marketplace, strong traffic volume growth helped offset lower carrier monetization with consumer quote requests of 28% year-on-year. Our customer acquisition teams reacted swiftly, continuously adjusting ad spend in near real-time to maximize margin amidst volatile carrier demand throughout the quarter. On the provider side of our marketplace, our agent-oriented distribution channels continue to exhibit strength and resilience in Q2, even while the direct carrier channel contracted. Local agents budget caps increased year-over-year within our marketplace. Direct-to-consumer agency or DTCA continue to perform well, representing 13% of revenues in Q2 and exceeding our internal projections. Over the course of Q2, amidst a challenging auto carrier environment and a lock-in period for health and Medicare, we drove meaningful improvement in the unit economic profitability and cash efficiency of our DTCA operations as follows. One, we continue to improve advisor performance through continued coaching and tenuring of agents, as well as tech and traffic optimization. Two, we increased ancillary attach rates in health and Medicare and three, we shifted policy mix towards higher LTV products. Meanwhile, the direct carrier channel continues to exhibit significant volatility. Throughout the quarter carriers exited unprofitable states and segments. As a result in Q2, direct carrier channel monetization reached new trough levels below the lows last seen in Q4 of 2021. July demand from auto carriers shows continued deterioration and we are not expecting this dynamic to change meaningfully within Q3. We also expect to experience lower health demand in Q3, reflecting the seasonally slower locking period ahead of cue Ford's open enrollment period. Turning to the broader environment, auto carriers are now citing the uncertainty caused by surging inflation as a key factor limiting their pace of recovery. While we have seen loss and combined ratios improving for certain carriers, we believe that Q3 demand will likely remain significantly depressed, and that a rebound previously expected to begin in the second half is unlikely to occur before 2023. Data that supports this outlook include one, recent actions from a number of carriers to further limit their customer acquisition, appetite and good levels and to direct feedback from a large partner of ours. That uncertainty around the go forward loss environment caused by surging inflation is leading them to restrict budgets in the second half of 2022 more than previously expected. When inflation stabilizes and carriers are able to increase rates to reflect the current underwriting environment, we expect they will return to normalize levels of customer acquisition spend while driving more insurance shopping, as consumers react higher renewal rates. In closing, we are successfully navigating a very turbulent market. In Q2, we reacted quickly to changes in market conditions by managing our ad spend, and altering our cost structure to deliver more revenue and profitability. We also benefited from our strategy to diversify our distribution into agent channels. We remain in an unstable market, and the actions required in third quarter are likely to be different than the second. However, with a strategy and a team that has demonstrated its capacity to adapt quickly and execute, we are confident we will continue to deliver strong financial results through the uncertainty ahead, while continuing to make progress towards our long-term vision to become the largest online source of insurance policies by combining data, technology, and knowledgeable advisors to make insurance simpler, more affordable and personalized. We remain laser-focused on building an industry defining company. I continue to be incredibly proud of our team's ability to navigate changes in the industry. As auto carrier demand recovers, we expect that EverQuote will be well-positioned to return to our historic trends, strong revenue growth, and expanding adjusted EBITDA. Now, I'll turn the call over to John to provide more details on our financial results.
John Wagner: Thank you, Jayme, and good afternoon everyone. I'll start by discussing our financial results for the second quarter and then provide guidance for the third quarter and updated guidance for the full year of 2022. Our total revenue for Q2 of $101.9 million, a decline of 3% year-over-year exceeded our guidance range provided last quarter, as growth in consumer volume and demand from non-carrier customers partially offset reductions in monetization. The reductions in monetization were related to the industry-wide pullback in auto insurance, carrier advertising, that is affected demand and pricing from our direct carrier customers within our auto insurance vertical. As anticipated, our auto insurance vertical decreased 6% year-over-year to at $1.4 million. While the auto insurance industry's challenges were evident in a significant year-over-year reduction in carrier revenue and pricing, we benefited from a 28% year-over-year growth in overall consumer quote requests this quarter. This reflects our success in generating consumer traffic and the potential to increase our share of insurance shopping consumers now and position as well for the time when the auto insurance carrier market challenges are overcome. Apart from our direct carrier customers, revenue from all other insurance distribution channels increased year-over-year, including DTCA, which grew over 300% to $13.1 million. Within our marketplace distribution, third party local agents continue to show resilience with revenue growing slightly year-over-year and contributing 40% of revenue. Revenue from our other insurance verticals, which includes home and renters Life and Health Insurance grew 10% year-over-year to $20.5 million for the second quarter. These non-auto insurance verticals represented 20% of second quarter revenue, with a notable contribution from our direct-to-consumer agency within our health insurance vertical. Variable marketing margin or VMM, defined as revenue less advertising expense was $33.1 million for the second quarter, up slightly year-over-year and above our guidance range provided last quarter. VMM in absolute dollars and as a percentage of revenue were at near record levels due to region auctions and acquisition costs and contribution from DTCA. We've benefited from a competitively more favorable advertising landscape and by aggressively applying our analytical and operational advantage to lower costs per consumer quote request by 26% year-over-year, also driving higher volume. Although we had fully anticipated pricing reductions in our own monetization, the upside in our margin performance reflects rapid adjustments made by our traffic teams to uncover opportunities and efficiencies, and to recalibrate our marketplace acquisition in a rapidly changing advertising environment. Turning to our bottom-line, GAAP net loss was $3.8 million in the second quarter, and adjusted EBITDA was a positive $1.4 million, exceeding our guidance range provided last quarter. Our favorable VMM performance translated directly into adjusted EBITDA as we continue to manage operating expenses tightly and look for opportunities to reduce expenses. We ended the quarter with cash and cash equivalents on the balance sheet of $41.3 million. During the quarter, we consumed $3.5 million in operating cash, primarily to fund the growth and DTCA. While our auto insurance vertical was facing reduced demand from careers, we expect to continue to use cash in operations as we grow DTCA. Just after the quarter ended, we announced the renewal of our debt facility, expanding our line of credit by $10 million to $35 million, extending maturity by three years and adding a $10 million deferred draw term loan. We have no funds drawn against this facility and believe our cash balance combined with this facility renewal, continues to provide us sufficient liquidity. Turning to our outlook and building on Jayme's comments regarding the market conditions within the auto insurance industry. We believe carriers are cautiously forecasting continued increases in claims losses, given recent reporting on inflation, as a result, carrier pricing remains down and continues to be volatile. This volatility has included recent pullbacks and pauses in marketplace bids from some carriers. We believe carriers are on a defensive footing, and we are not seeing signs of an early recovery within the auto insurance industry. As a result, we continue to manage intently to the current environment to optimize our marketplace business. As we enter the second half of the year, we anticipate that auto carrier pricing will continue to place pressure on margin and revenue as it has since Q3 of last year. Our reaction is to continue to focus on execution and opportunities to leverage our advantages. We are driving growth from distribution channels less affected by auto carrier pricing, such as third-party and first-party agents and our health insurance vertical. We are managing for efficiency in our advertising and operating costs, which has allowed us to remain adjusted EBIT up positive. And we are increasing our share of consumer shopping for insurance by growing consumer volumes despite a difficult market. We expect manages similar manner in the second half of the year and are placing a greater focus on efficiency and bottom-line results as it becomes more apparent that an auto insurance recovery will stretch into 2023. Turning to guidance for Q3. We expect revenue to be between $90 million and $95 million a year-over-year decrease of 14%. At the midpoint. We expect VMM in the quarter to be between $24 million and $27 million, a year-over-year decrease of 21% at the midpoint. And we expect adjusted EBITDA to be between negative $6 million and negative $3 million. This guidance reflects depressed auto insurance carrier pricing continuing to impact our largest vertical. For the full year, we are narrowing our guidance for revenue and improving our VMM and adjusted EBITDA guidance as a result of our stronger than expected q2 performance in our margins. We expect revenue to be between 400 and $410 million a year-over-year decreased 3%. At the midpoint, we expect the amount of $122 million a year-over-year decrease of 8% at the midpoint and we expect adjusted EBITDA of between negative $7 and negative $1 million. In summary, we delivered results better than our guidance for the second quarter despite continued pressure from the current auto insurance cycle. by reflecting our ability to dynamically manage the economics of our marketplace and capture growth from areas of diversification, and resilience. We continue to execute well in a difficult market and are poised to capitalize on areas of strategic focus, and are well positioned for the time when the auto insurance carriers begin to normalize their acquisition spending. Jayme and I will now answer your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from the lineup, Jed Kelly with Oppenheimer. You may proceed Oppenheimer, you may proceed.
Jed Kelly: Great. Thanks for taking my question. Two, if I may. Just in terms of managing the back half, can you talk about how you're sort of managing the business for share gains? Because I imagine some of your other competitors are facing like a difficult challenge. And then number two, just as it comes for guidance in the back half, I mean, can you give us a sense on how conservative you're being? You're saying the recovery might not start till 2023 and make sense. But I guess given where the carriers are, and sort of resetting their rates and driving more profitable business where can they go? Till they can start?, I guess, resetting the rates to be profitable. Thank you.
Jayme Mendal: Thanks Jed. So, with respect to share gains, I think the data we look at know, will we look at kind of our growth of our insurance business relative to that of others in recent periods. And obviously, we have glean some information from the traffic landscape as well. We do believe we're taking share during this period. And we attribute that diversification in our distribution network, which is certain assets that are more unique to EverQuote, be the side of the scale of our local agent network, which continues to demonstrate resilience and grow through this period, as well as the growth of our direct to consumer agency. And so, we'll see what entirety of landscape looks like as we come through the earning season. But certainly if you look back, we've managed to continue to post sort of outsized results, relative to our peers, in terms of our of our growth over the first part of this year?
John Wagner: Jed, it's John here, I'll take -- I'll add to that on the share gains. I'll just point out that our -- the strength we had in traffic, this quarter was also on an increase in VMM, in absolute dollars and as a percentage of revenue. So, that is very consistent with our management philosophy, which is to grow as fast as we can, as long as we are adding traffic that is, that is incrementally beneficial to VNM. So it is kind of a very wholesome, increase in, quote request volumes this quarter. And that's why we decided to share that metric with you. In terms of the guidance on the back half of the year and the question of how conservative it is. The guidance methodology has not changed, it is always that we strive to give you guidance, that that is -- share some insight as to what we see in the business and gives you an idea of what we think is a high confidence plan in our guide and so that has not changed. What we have included in there is this idea that that the auto insurance, carrier pricing, we expect to stay down through the end of the year. And that's a that's a slight revision in terms of our outlook in terms of what was previously a slight improvement in the second half of the year. We're seeing that as kind of flat and that's how we factor that in. And so that's factored in there, but that's truly what we believe. And then, I'd say this past quarter in terms of the guidance versus the actuals, what you did see was a favorable reaction and how we could benefit from our promise on the traffic side, and also a more favorable advertising landscape and actually provide some upside in terms of VMM and that flow down to adjusted EBITDA. So, something like that is not included in the guidance, because we just don't have the high confidence to say, how will that play out on the landscape. But we know that what we're seeing for pricing pressure is not unique. This is an industry-wide phenomenon that's applied to all of the acquisition partners within auto insurance.
Jed Kelly: Thank you.
Jayme Mendal: Thanks Jed.
Operator: Thank you. The next question is from the line of Mayank Tandon with Needham. You may proceed.
Kyle Peterson: Hey, good afternoon, guys. This is actually Kyle Peterson on for Mayank. Thanks for taking my questions. Just wanted to touch on some of the traffic and improvement from both quote request and efficiency perspective, how much of some of the gain and improvement here was due to just stronger consumer demand, engagement, and interest versus potential ad costs coming down? I know there's been a lot of talk on potential advertising recession and such. So, just wanted to see if you guys could tease out those two factors to the best you can?
Jayme Mendal: Sure. I think it's a combination of things. We are in -- typically, when you're in an upward rate cycle, the increasing rates will induce shopping behavior, people get the renewal notices the renewal, you know, their renewal premiums go up, and that will induce shopping behavior. And so I think the overall landscape is benefiting from more consumer shopping behavior. But I think within that you will see us taking share as our sort of relative monetization, kind of, going back to my answer to Jed's question, driven by the continued strength and stability of some of our unique distribution channels, and our direct-to-consumer agency and in our local agent network, have enabled us to compete more effectively into growing -- is there a rising tide of consumer shopping volume?
Kyle Peterson: Okay, that's helpful. And then I guess, just a quick follow-up, specifically on the potential M&A pipeline and scaling of the DTC a piece of the business, it's great to see that growing out nicely and helping diversify the business. Are you guys seeing any potential opportunities to grow potentially inorganically in that channel, kind of, diversify quicker, it's good to see the growth, but obviously, still pretty competitive this with the auto budget. So, -- just any color, how are opportunities or toxin progressing with potential partners or targets would be helpful?
Jayme Mendal: So, we made two acquisitions in the last two years or so, the health insurance brokerage, Crosspointe, and health and Medicare, and then P&C brokerage, which is PolicyFuel. We spent the better part of the last year really integrating that in those acquisitions into our operations, and together into a unified direct-to-consumer agency platform, which now serves consumers across all the major personal lines of insurance. So, our view is the within DTCA, we have the foundational building blocks to grow that organically, the way that that we would like to do so over the near-term, but you know, we are always -- we're active, just keeping an eye on the market and looking for opportunities to accelerate our strategy, though I'll say that's not a that's not high on our list of priorities in the near-term.
Kyle Peterson: Understood. Thanks guys.
Jayme Mendal: Thanks Kyle.
John Wagner: Thanks Kyle.
Operator: Thank you. The next question comes from the mind of Michael Graham with Canaccord. You may proceed.
Michael Graham: Thank you. Hey, guys congrats on the DTCA growth. It was like 13% of revenue this quarter, and I'm just wondering, if you see any kind of natural limit to sort of how big it could get in your revenue mix? And then I just wanted to ask relative to the -- kind of, pushing out the rebound until 2023. Have the carrier partners, kind of, verbalized what they would need to see to get more aggressive? And is there anything about historical seasonal patterns that you think might influence -- assuming a recovery does happen next year, is there anything about the seasonality of spend that might influence when it happens?
Jayme Mendal: I'll take this one. I'll start Mike. I'll start with your second question first. The -- if you look at the carrier data, there's a number of carriers that are reporting -- report they're offering combined ratios publicly at different varying cadences. But those that look for more frequently, if you look at the most recent data, we do see their profitability coming in line, right? Meaning they are seeing combined ratios coming down, there are large carriers who are seeing combined ratios coming down, kind of, at or below their target levels. And the expectation was that as soon as that happened, the growth spigot would open back up, and what has changed and sort of, what we're hearing now is just increasing uncertainty around the overall inflationary environment, is causing carriers to take a moment to really make sure they understand kind of go-forward loss environment before they lean back in to growth. And as a result, in early Q3, we continue to see carriers sort of ebbing and flowing, but a bit more contraction than expansion on balance. And one major carrier has indicated their intent to continue to manage to a bunch -- a fixed budget through the end of the year as a way of mitigating risk against that uncertain inflationary backdrop. So, if you're looking for something like leading indicators, the things that we watch our carrier, obviously, carrier performance, but right now beyond that, I think you kind of, want to look to inflation and you'd look at some of the price indices for used cars, for new vehicles, for motor vehicle parts and equipment, things like, wages for automotive repairs and things like that. Those are some of the leading indicators that you'd probably take together with the carrier data, that would give you some indication of our best expectations for what's to come beyond what the carriers are telling us directly. Seasonally, we know Q3 tends to be a seasonally stronger quarter than Q4. And so you'd expect to see a bit more strength in Q3 than in Q4, which is the seasonally weakest quarter for auto insurance. Does that answer that question?
Michael Graham: It does. Yes, thank you. I appreciate that, Jayme. And the other quick one was just DTCA, like, is there any natural limit to how big that can get in the mix of your revenue?
Jayme Mendal: So, I'll take down on my goal, I'll say no notation [ph] in terms of how big I could get. It is worth noting that in terms of assets, we're very pleased with the growth. We're also making sure that we're managing that business for improved unit economics. So, again, this theme of -- we want to make sure we are scaling -- growing that business, but doing so profitably with improved economics. So I'd say that's the bigger gov to the growth of DTCA is making sure that we get the return on the business that we're looking to, as we scale it.
Michael Graham: Okay, make sense. Thank you, John. Thanks Jayme.
Jayme Mendal: Thanks Mike.
Operator: Thank you. The next question comes from the line of Ralph Schackart with William Blair. You may proceed.
Ralph Schackart: Good evening. Thanks for taking the question. Just -- first question relates to the release, you talked about modifying your bidding strategy. given the volatility and on the call, he talked about recalibrating the acquisition teams. Just curious how much of that is short-term in nature to respond to the current environment versus, things that you're doing today that will make the platform stronger when the macroenvironment improves? And then I a follow up.
Jayme Mendal: Yes, thanks Ralph. Good question. There are elements of it, which are just short-term making sure that that we're responding in real-time as changes flow through. But there are also elements of changes that we are rolling out that are more structural changes with respect to how we acquire consumers. So, we're doing a lot of -- that -- there's a lot of data science, modeling work that's meant to predict things about consumers shopping behavior. And we're pulling in more and more data into these predictions. We're using them to inform how we bid for customers in the acquisitions landscape, and how we distribute customers in the distribution landscape. And those models are improving. And I would say in the last quarter, they've taken a significant step forward, it'll be a continued area of focus for us to build on that momentum, as we progress through the back half of the year.
John Wagner: And Ralph I'll just probably add up, there are certain times when the growth when our business, the growth has been fueled by monetization, there's been times when it's been fueled by volume. If you look at those periods in which we've taken volume, we tend to hold on to that volume. So, in a period like this, where we're growing the business through volume, if you look, it's almost like loading up a spring. When that monetization comes back, we generally hold on to those advertising positions. And so -- that's why the idea of taking volume now, we think, gives us an opportunity as things start to normalize in the auto insurance industry.
Ralph Schackart: John and question for you, the follow-up here. Just in terms of the EBITDA guide, I think, roughly about -- you've done about $4 million or so EBITDA year-to-date for the first half and I think a full year outlooks at the midpoint about calls for about minus $4 million. Just curious, are there any sort of deferred projects or that sort of pricing environment flowing through the model? Just kind of want to get a little bit more color on that? Thanks.
John Wagner: Yes, that's really pricing and demand flowing through, not so much any kind of differed projects or any type of new investments. We are still making investments in the business, but I think we've had a theme now for the -- since Q3 of making sure that we are calibrating our resources and our investments to the market that we're seeing, and we're putting kind of, a focus on making sure that that we that we manage the bottom-line, I think we came into this year, looking to maintain positive EBITDA for the full year, we had to step away from that. But we're certainly making sure that we managed to bottom-line. So, you'd see us applying new resources very frugally to new projects. So, that's mostly just pricing flowing through the model.
Ralph Schackart: Okay, thanks, John. Thanks, Jayme.
Jayme Mendal: Thanks Ralph.
Operator: Thank you. The next question is from the line of Cory Carpenter with JPMorgan. You may proceed.
Cory Carpenter: Thanks for the question. Just wanted to ask outside the current car insurance market, how would you expect EverQuote to perform in a recessionary environment? It sounds like on the call in some ways, you're benefiting with lower ad competition and higher quote requests. But just curious if you could talk to different impacts of slowing economy and how that may impact you guys overtime? Thank you.
Jayme Mendal: Yes, we typically think of the business as being relatively countercyclical or at least, it would perform relatively well in a down economy. The reason for that is insurance -- auto insurance specifically tends to the top three to five line items. Three to five line item of non-discretionary spend and people's personal income statement. And so as they need to look for personal savings, I think most people have been conditioned at this point to shop and save insurance. And as a result, you'd see continued growth in insurance shopping volume as consumers begin to feel more pressure. And then at the same time, you combine that with the cycle that we're in, which is one in which insurance carriers are continually increasing rates and you'd kind of expect that effect to be some of amplified. The other consideration, particularly at this moment in time as we think about what's driving the profitability issues for the carriers, the predominant factor is accident severity, meaning the cost to repair and replace vehicles. And so as the economy softens, you'd expect to see some of the drivers of that subside. Meaning the used car market may loosen up as interest rates go up, car payments become more expensive, people pull back on demand -- the demand for vehicles goes down. Fuel prices stay up the way that they are, right, which is somewhat associated with the weaker economy that could have a downward impact -- driver off accident frequency as miles driven comes down. So, there's a number of things in a soft economy that actually look like favorable contributors for EverQuote's business and we'll see how things materialize both, but the economy and the impact that that those drivers have on the auto insurance industry over the next over the coming quarters and months.
Cory Carpenter: Great. Thank you.
Operator: Thank you. Our last question will come from the line of Aaron Kessler at Raymond James. You may proceed.
Alex Bolton: Hey, guys, this is Alex Bolton on for Aaron Kessler. Maybe just a point of clarity on being and guidance. You're not expecting carrier pressure to outweigh the favorable advertising environment? I guess I'm just asking the favorable advertising environment is not within guidance and if it remained that could be favorable to guidance?
John Wagner: Yes, so I think when you look at the guidance and you say what is factored in there, certainly, what we are seeing, and as Jayme alluded to Q2 was as low if not lower, in terms of carrier pricing in Q2 as compared to Q4, and we've seen some pullbacks even getting into July. So, we're reflecting that in our outlook. What we saw in Q2 was a similar scenario when we saw some pull backs and we were able to adjust and calibrate and maybe take advantage of some of the overall environment for advertising coming down, in order to outperform our own expectations in terms of margins. That is not factored in, as we look at Q3. So, we're looking at Q3, we're looking at the environment that we have right now, we'll see that if -- as those changes ripple through, and we get some additional benefit on the advertising side, that could be a source of upside in terms of margin. But again, when we look at our guidance, where we are guiding to what we're confident that we can deliver. And that's how we're setting guidance now. So, the modernization, reduction is priced in, necessarily recalibrating traffic and opportunities on the advertising side is not.
Alex Bolton: Okay, great. And then maybe to touch on investments for annual enrollment period and 2Q and any investments that you're planning for 3Q? And the hiring environment could be a headwind at all?
John Wagner: So, I think you're -- certainly when we look at investments in the near future, we're thinking about DTCA as we head into the AAT [ph] period in Q4 Alex. There, we are looking at hiring we as you would expect this time of year. I think our plans though, are again, kind of, governed by our expectation of improving economics within the DTCA. This is really kind of our second full AAT, which were able to plan for last year we had the growth that we saw, it's very exciting, and we were able to prove up the model. This year, we're a little more focused on unit economics as some of the other players in this space are and so that will temper our investments into DTCA as we go through Q3 and into Q4.
Alex Bolton: Okay, great. Appreciate the answers.
John Wagner: Thanks Alex.
Operator: Thank you. There are no additional questions at this time. I will pass it back to the management team for any closing remarks.
Jayme Mendal: Well, thanks everyone for joining us today. It's a challenging period for the auto insurance carriers, but we continue to benefit from our strategy to diversify our distribution channels and we're continuing to manage the business well amid heightened levels of volatility. So, as we look ahead and as auto carrier demand recovers, we expect that EverQuote is going to be very well-positioned to return to strong revenue growth to expanding adjusted EBITDA as we remain laser-focused here on building an industry defining company. Thank you all for your time.
Operator: That concludes today's conference call. Thank you. You may now disconnect your line.